Operator: Good day and welcome to the Altria Group 2021 Third Quarter Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Altria's management and a question-and-answer session. Representatives of the investment community and media on the call will be able to ask questions following the conclusion of the prepared remarks. I would now like to turn the call over to Mac Livingston, Vice President of Investor Relations for Altria Client Services. Please go ahead, sir.
Mac Livingston: Thanks, Katherine. Good morning, and thank you for joining us. This morning, Billy Gifford, Altria's CEO, and Sal Mancuso, our CFO, will discuss Altria's Third Quarter and first 9 months business results. Earlier today, we issued a press release providing our results. The release, presentation, quarterly metrics, and our latest corporate responsibility reports are all available at altria.com. During our call today, unless otherwise stated, we're comparing results to the same period in 2020.  Our remarks contain forward-looking and cautionary statements and projections of future results. Please review the forward-looking and cautionary statements section at the end of today's earnings release for various factors that could cause actual results to differ materially from projections. Future dividend payments and share repurchases remain subject to the discretion of Altria's Board. Altria reports its financial results in accordance with U.S. generally accepted accounting principles. Today's call will contain various operating results on both a reported and adjusted basis.  Adjusted results exclude special items that affect comparisons with reported results. Descriptions of these non-GAAP financial measures and reconciliations are included in today's earnings release and on our website at altria.com. Finally, all references in today's remarks to tobacco consumers or consumers within a specific tobacco category or segment refer to existing adult tobacco consumers, 21 years of age or older. With that, I will turn the call over to Billy.
Billy Gifford : Thanks, Mac. Good morning, and thank you for joining us. In the third quarter, Altria continued to balance maximizing profitability from our core tobacco businesses, with investing to realize that vision of responsibly leading the transition of adult smokers to a smoke-free future. Our tobacco businesses performed well against difficult year-over-year comparisons. And we're encouraged by the significant retail share growth from on! in the third quarter. We also continued to reward shareholders with a strong and growing dividend, and announced today the expansion of our share repurchase program to $3.5 billion.  Both Altria and the tobacco industry are evolving, and with transformation comes opportunity. It also brings uncertainty and adversity, including the recently International Trade Commission decision related to IQOS. We knew our journey to a smoke-free future would not be easy, but our determined and talented employees have demonstrated they are up to the challenge. The pursuit of our vision is not based on a single brand or product platform. Our vision is built on our understanding of tobacco consumers, our capabilities as a leading tobacco Company and a portfolio of smoke-free brands and product formats. We've made progress through the performance of our current smoke-free portfolio and advancements in regulatory sciences, data analytics and a robust consumer engagement system. Our tobacco businesses remained strong and our vision keeps us focused and guides us forward. Let's now turn to our business results. Altria grew its third quarter adjusted diluted earnings per share, 2.5%, despite a backdrop of challenging comparisons and unfavorable year-over-year trade inventory movements.  For the first nine months of the year, adjusted EPS grew 4.5%, primarily driven by the strong financial performance of our tobacco businesses and higher ABI adjusted earnings. Our smokable products segment continues to generate significant cash and return to shareholders -- to return to shareholders and fuel our vision. Third quarter adjusted operating Company's income decreased 2.2%, reflecting the impact of trade inventory swings, but grew 2.6% to $7.9 billion for the first 9 months, while Marlboro remained strong. The all-tobacco products segment continued to deliver robust profit margins, while Copenhagen maintained its leadership position.  In all nicotine pouches, we have accelerated investment behind Helix and believe that the on! portfolio is well-positioned in this fast-growing category. We're advancing the sophistication of our analytics across our companies. The Helix team uses this capability to evaluate the impact of promotional tools on tobacco consumers, and understand what actions effectively drive trial, repeat purchase and adoption. on! retail share of all tobacco increased a full share point sequentially, reaching 3 share points for the third quarter and nearly tripling since the end of last year.  These strong results were driven by increased smoker trial and repeat purchase from existing on! consumers. We're excited by the performance of on! during the first 9 months of the year, and believe consumer insights, disruptive retail executions, and consumer engagement will continue to fuel its growth. Last year, we submitted pre -market tobacco applications to the FDA for the entire on! portfolio. While the FDA has made substantial progress in reviewing millions of PMTAs, they received our applications for on! are still pending. A week ago, the FDA authorized the marketing of four of our all-nicotine products, Verve Discs and Verve Chews, in the flavors of Green Mint and Blue Mint, and determined that the marketing of these products is appropriate for the protection of public health. This is the first flavored product authorization issued by the FDA for newly deemed tobacco products. While our Verve products are not currently in market, we believe the learnings we gained from developing our Verve submission were critical in following compelling and timely submissions for on! which we completed in only 9 months after closing the on! transaction. We're also actively working on modified risk tobacco product applications for on!. We believe an MRTP would be an impactful point of differentiation for the brand, and an important tool in educating and ultimately transitioning smokers to less harmful products. In e-vapor we estimate that the total category volume increased 17% versus the year-ago period and increased 2% sequentially as a result of continued elevated levels of competitive activity. While we had hoped for clarity on the categories outlook as manufacturers received PMTA decisions, the future of e-vapor is still uncertain. For most of the leading e-vapor products, the applications are still pending, including those submitted by JUUL. Moving forward, we expect e-vapor buying trends to be influenced by regulatory activity, which has the potential to impact the degree of cross category movement. Recently, the CDC published an update from their national youth tobacco survey.  While caution is warranted when comparing results year-over-year, due to the impact of the pandemic on the survey’s methodology underaged e-vapor use, including use of Juul, shows continued signs of decline. We're encouraged by the progress, but more still needs to be done and we remain committed to continuing our work to drive down underage use.  Turning to heated tobacco. The IQOS team continue to refine it's go-to-market approach for new and innovative products. Across the four states were IQOS is available, total Marlboro HeatSticks volume continued to grow with repeat purchase accounting for approximately 85% of sales. According to IQOS consumers, our IQOS experts program played a significant role in their repeat purchases. The program offers smokers personalized support and encouragement through consistent tailored engagements.  In the Northern Virginia lead market device penetrations, as a percent of the smoker population, continued to exceed the performance of previous roll outs. In the last four weeks of the third quarter, Marlboro HeatSticks achieved a cigarette category retail share of 1.8% in Northern Virginia stores with distributions. As we mentioned earlier, the International Trade Commission recently imposed an importation ban, and issued cease and desist orders on IQOS, Marlboro HeatSticks, and infringing components. We're disappointed in this decision as IQOS is the only inhalable tobacco product to have received FDA authorization as a modified risk tobacco product. The ITC's importation ban will make the product unavailable for all consumers who have switched to IQOS, reduce the options for over 20 million smokers looking for alternatives to cigarettes, and ultimately is detrimental to public health. We continue to believe the plaintiff’s patents are invalid, and that IQOS did not infringe on those patents. The ITC's decision is currently under 60-day review by the administration's U.S. Trade Representative. In the event that the administration does not reject the decision, we are preparing to comply with the order. We've been focused on our contingency plans surrounding sales and distribution and had been in communication with PMI on their domestic manufacturing plans. We view the ITC's decision as a frustrating obstacle, but we're not deterred from the work required to realize our vision. We remain committed to the heated tobacco category and believe it can play an important role in transitioning smokers to a smoke-free future. Going forward, we expect to apply the knowledge and capabilities we gained from introducing and responsibly marketing a brand-new product category. For example, we've learned how to blend behavioral science, data insights, and consumer engagement to support smokers on their smoke-free journey; leverage MRTPs to educate consumers on the benefits of reduced risk products, and established a robust post-market surveillance system as required to monitor FDA authorized products. I'm optimistic about the future for tobacco harm reduction in the U.S. We have an unprecedented opportunity to lead the way in shifting millions of smokers away from cigarettes, if we follow the science and foster innovation with the support of reasonable regulation. Let's turn to our financial outlook. We are raising the lower end of our full-year 2021 guidance and now expect to deliver adjusted diluted EPS in a range of $4.58 to $4.62. This range represents a growth rate of 5% to 6% from a $4.36 base in 2020. I'd also like to welcome Marjorie Connelly and Matt Davis to our Board of Directors, as announced this morning. They bring significant combined expertise in operations, business strategy, consumer insights, and public policy, and will be tremendous assets as we pursue our vision. I will now turn it over to Sal to provide more detail on the business environment and our results.
Sal Mancuso : Thanks, Billy. I'd like to begin by discussing the macroeconomic factors we believe influence the tobacco consumer. We believe rising gas prices, inflation and the conclusion of COVID-19 relief programs led to a decrease in disposable income versus the previous quarter. In addition, increased consumer mobility offered consumers more options for their discretionary spending. At retail, trends were unchanged sequentially. We estimate that compared to pre -pandemic levels, the number of tobacco consumer trips to the store continued to be depressed. But tobacco expenditures per trip remained elevated. We continue to monitor tobacco consumer behaviors and we will provide our insights on the factors impacting those behaviors as we move forward. Moving to our businesses. The smokeable product segment expanded its adjusted OCI margins to 58%, an increase of a half percentage point for the third quarter in more than one percentage point for the first 9 months. This performance was supported by strong net price realization of 11.3% in the third quarter, and 9.2% for the first 9 months. Smokable segment reported domestic cigarette volumes declined 12.9% in the third quarter, an 8% in the first 8 to 9 months. We believe reported volumes reflect an absolute wholesale inventory swing of 1.5 billion sticks. As wholesalers bill inventory in the third quarter of last year, but depleted inventories this quarter.  When adjusted for trade inventory movement, calendar differences and other factors. Domestic cigarette volumes for the third quarter and the first 9 months declined by an estimated 7% and 5% respectively. At the industry level, we estimate that adjusted domestic cigarette volumes declined by 6.5% in the third quarter, and by 5% in the first 9 months. Marlboro remains strong and resilient despite a widening price gaps in a dynamic macroeconomic environment. In the third quarter, Marlboro retail share of the total cigarette category was unchanged, both sequentially and versus the year-ago period at 43.2%. And in discount, total segment retail share in the third quarter continued to fluctuate, increasing 0.3 percentage points sequentially to 25.3%.  In cigars, we continue to believe Black & Mild is the most profitable brand in the large mass machine-made cigar category. Reported cigar shipment volume increased by 2.7% in the first nine months of 2021. Turning to the oral tobacco products segment, adjusted OCI and adjusted OCI margins contracted for the third quarter in first nine months, primarily due to increased spending behind on and shifting mix between MSP and Oral Nicotine Pouch es. We're pleased with the strong overall margins for the segment and continue to be excited about the opportunity for on, in the Oral Nicotine Pouch category. Total reported oral tobacco products segment volume decreased by 3.8% for the Third Quarter and by 0.5% for the first 9 months.  When adjusted for trade inventory movements in calendar differences, segment volume decreased by an estimated 2.5% for the third quarter and 0.5% for the first 9 months. Oral tobacco products segment retail share for the third quarter was sequentially unchanged as strong share gains for On offset declines in MSP. The segment declined 2.2 percentage points versus the third quarter last year due to the continued growth of the Oral Nicotine Pouch category. Looking ahead, we're monitoring several factors as we move towards the end of this year and into the next. Many industries are experiencing rising input costs and supply chain disruptions.  Thanks to the foresight and hard work of our procurement team, we're successfully managing through these issues without significant impact to-date. For Altria, we foresee modest inflation in the year ahead. This could have some impact on the input costs and the inflation adjustment to our master settlement agreement payments. However, our Tobacco businesses remained strong and we are confident in our ability to manage through short-term economic challenges. As a reminder, we contemplate an array of scenarios in our financial forecasts and intend to incorporate these factors into our 2022 EPS guidance, which we expect to provide in January. Turning to our investment in ABI. The five-year lockup on our restricted share expired earlier this month. We've been an investor in the beer category since 1970 and our original investment of $230 million has served us extremely well over the past half century.  In fact, since 2003 our beer investment has served as a diverse income stream that contributed over $12 billion of adjusted equity earnings, contributed over $10 billion of cash from both dividends and 2016 merger proceeds and strengthen our Balance Sheet. We've performed rigorous analysis regarding the ABI investment. First, as part of the preparation of our third quarter financial statements, and second, in anticipation of the expiration of the lockup. In preparing our third quarter financials, we assessed the latest outlook for ABI's business under the applicable accounting guidance, and recorded an impairment to the asset While we continue to believe ABI share price will recover, we now do not expect it to fully recover to it carrying value as soon as previously expected.  As a result, we have written [Indiscernible] investment in ABI down to at September 30th market value of $11.2 billion. Regarding our decisions around the [indiscernible] we view our ABI stake as a financial investment and our goal is to maximize the long-term value of the investment for our shareholders. We consider several factors as we analyze the investment, including the strategic rationale of continuing as a long-term investor in the beer category. ABI share price, which has declined by more than 30% since October 2019 due in large part to impacts of the COVID pandemic, our expectations of ABI's business, alternative uses of capital, and tax considerations.  We have determined that selling our ABI investment at this time would not maximize long-term shareholder value. Therefore, we continue to plan to maintain our ABI investment. We continue to have confidence in ABI's long-term strategies, premium global brands, experienced management team, and capability to successfully navigate near-term challenges. We will continue to monitor and evaluate market conditions and the analytical factors mentioned previously on a regular basis, consistent with our goal of maximizing the long-term value of this investment for our shareholders. We remain committed to creating long-term shareholder value through the pursuit of our vision and our significant capital returns, which we demonstrated in the third quarter, by paying approximately $1.6 billion in dividends and raising the dividend for the 56 times in 52 years.  Selling St. Michelle Wine Estates and expanding our share repurchase program from $2 billion to $3.5 billion and repurchasing 6.7 million shares totaling $322 million. We have approximately $2.5 billion remaining under the newly expanded $3.5 billion share repurchase program, which we expect to complete by December 31, 2022. With that, we'll wrap up, and Billy and I will be happy to take your questions. While the calls are being compiled, I'll remind you that today's earnings release and our non-GAAP reconciliations are available on altria.com. We've also posted our usual quarterly metrics, which include pricing, inventory, and other items. Let's open the question-and-answer period. Operator, do we have any questions?
Operator: Thank you. Once again, as a reminder, [Operator Instructions]. Investors, Analysts, and Media Representatives are now invited to participate in the question-and-answer session. We will take questions from the investment community first. Our first question comes from Pamela Kaufman with Morgan Stanley. Please go ahead.
Pamela Kaufman : Hi. Good morning.
Billy Gifford : Good morning, Pamela.
Pamela Kaufman : I had a question on pricing, so PM USA net pricing growth was very strong this quarter. Can you discuss the levers that you're managing to drive net price realization and how much of the growth in net pricing has been driven by your strategy around L&M versus how you're managing Marlboro and what you're doing differently from an RGM perspective?
Billy Gifford : Thanks for the question, Pamela. I think when you think about pricing, it's important to remember our price realization has really two major components. The first component, everybody is all aware of it and talks about regularly which are list price increases, and that's across our portfolios. When you think about the other component, and we've referred to it before as the investments we've made around advanced analytics and the amount of data we get from retail. And with that advanced analytics, some companies refer to it as revenue growth management but it's really taken the retail promotions we put in the marketplace for consumers and really making it more efficient and as effective, or maybe at times more effective than without the Revenue Growth Management.  So that's allowing us to increase the price realization. I think that's what you experienced through the quarter and through the first 9 months. And from a standpoint of L&M, look, we've increased our profitability on L&M. We have ceded some share there, but we are a premium focused Company. We liked the results that we've experienced in L&M. And I think you see what the advanced analytics model has been rock solid for, call it now, 5 to 6 quarters.
Pamela Kaufman : Thanks. As a follow-up, how are you thinking about the balance between generating price realization in light of some of the macro headwinds that you highlighted that might weigh on tobacco consumers? And it looks like sure --
Billy Gifford : I'm sorry, Pamela. Finish up.
Pamela Kaufman : Just related to that, it looks like the discount segment experienced stronger share gains this quarter driven by the deep discount segment. So are you seeing any increasing propensity of down trading in the current environment?
Billy Gifford : I think if you look at the slides we provided, I will take the discount question first, you can see discount bounces around from time-to-time. It's still in the range where it has been for quite a while. I think you see the propensity for consumers to still vastly value premium brands over discount brands. From a standpoint of how we think about pricing, and I'll be careful not to talk about future pricing, I mentioned before there are several factors we think about. We think about the health of our brands, the demographics that are associated with our brands, are we being relevant across all adult cohorts.  And we think about the economic health of our consumers. That is a factor that we factor in and then we think about overall corporate objectives. And so we looked about how we make decisions there. I think when you think about the overall strategy that we apply to the combustible segment, it's really about maximizing profitability over the long term while making appropriate investments and balancing investments in Marlboro with investments in the non-combustible portfolio.
Pamela Kaufman : Thank you.
Billy Gifford : Thank you.
Pamela Kaufman : I will pass it on.
Operator: We'll take our next question from Vivien Azer with Cowen. Your line is open.
Vivien Azer : Hi, thank you. Good morning.
Billy Gifford : Good morning, Vivian.
Vivien Azer : So in terms of the consumer, I think you guys rightly pointed out gas prices as key consideration in terms of watching out to the health of your core tobacco consumers. I recognize we’re possibly early cycle inflation in inflation in gas. But I'm curious, as you look at the various regions in the United States, obviously very different gas price dynamics, anything to call out in terms of underlying initial response from consumers higher gas prices?
Billy Gifford : Nothing there to call out, Vivien, you're right, we actually look at it down to the state level and below that; and I would say nothing really to call out specifically different from what you're seeing on a national base.
Vivien Azer : Okay. That's helpful. Thank you for that. Moving to the oral Tobacco segment, I was wondering if you could unpack the components of the 430 basis points decline in EBIT margin mix, versus the higher level of promo in on!. And to follow up on that, given the current levels of profitability in that segment, but you're focused on on!, do we think that this kind of 68% level is the right one or should we expect a recovery to more normalized rates like we've seen over the last few years? Thank you.
Billy Gifford : Thank you Vivien. I think when you think about our strategy in all tobacco, you can see what we are doing as we have great margins in traditional MST, we continue to lead in that category and we're making great strides in the on!, in the novel oral space, and we're very pleased with what we saw with the results. Once we got past manufacturing capacity constraints the progress we've been able to make with their sales force and the Helix team. It's important to remember that you're disrupting the consumer and introducing them to a new category that's grown extensively.  And so we're not just investing in price promotion, we're investing in making it a premium brand and really engaging with the consumer both digitally as well as with equity images so that they understand the nature of the brand. So you're disrupting that retail and then you're reinforcing it with equity through time. So, that's how we're approaching the all-tobacco category. We believe on! through time, we can achieve Tobacco - like margins, but certainly we are in the investment phase right now.
Vivien Azer : Okay. Thank you very much.
Billy Gifford : Thank you.
Operator: Our next question comes from Owen Bennett with Jefferies. Your line is open.
Owen Bennett: Hope all is well. And first question is, just going back to the pricing and the dynamics with the growing deep discount segment and the price gaps with the bottom of the market. So it does appear right now, the industry share loss to deep discount is coming from discount. But at the same time with the aggressive pricing we've seen the price gap between the top and bottom of the market is now at 38%. And this is historically how constant around 30%, so we are seeing quite a sharp increase there. Is there any risk if this continues to pick up than the premium segment also starts to lose share, i.e. I guess, what I'm trying to get, is there a tipping point where you think that price gap becomes too sizable?
Billy Gifford : Yes, it's something we certainly monitor Owen, thank you for the question, and it's something that we supply to you guys the overall national price gap. But we look at it, back to Vivien 's question, at a much lower level. I think when you think about that price gap, I would point to the performance on Marlboro through time, being able to achieve that price realization and I mentioned advanced analytics before and what's that team has been able to do in making the retail promotions we put in the marketplace effective and more efficient. And so you see the steadiness of Marlboro through time, you see the price realization where we -- what we were able to achieve for -- through the first 9 months. But it's certainly something we monitor, but we feel good about the position that our tobacco businesses are at.
Owen Bennett: Okay, fine. And then second question, just wanted to come back to the ABI stake and some of the thought process around that, and specifically potentially creating more value from holding onto that versus potentially owning JUUL outright. So I mean, JUUL got the potential to be hypergrowth, especially if it gets traction internationally. It's also a segment that’s cannibalizing cigarette, so incentive to own all the economics and then arguably as well it can also boost your ESG credentials.  Then on the flip side, you've got ABI arguably [ex] (ph) growth, not cannibalizing your cigarette, and it does nothing for ESG credentials. And then you've got potentially the corporate tax rate increasing soon into the [tops] (ph) charge on sale could increase. So I was just thinking, given those dynamics -- I mean, why do you think ABI can potentially offer more long-term value for shareholders than owning JUUL outright could?
Sal Mancuso : Good morning, Owen. This is Sal. So there's a lot to unpack in that question. Let me start by saying, as you know, we don't comment on hypotheticals or speculation around M&A. So let me move on to the ABI question which you've touched on a lot of the analytical factors I talked about in my opening remarks. At the center of the analysis though, is really thinking about what's best for the shareholder over the long term. At this time, we believe holding the asset is what's best for the shareholder over the long term. As I said earlier, we'll continue to monitor the asset and perform the detailed analysis that we perform as we do with all capital allocation decisions and we'll continue to do that moving forward.
Billy Gifford: I think the only thing I would add, Owen, is you can take up and you've been following us for quite a while. It's no different than the analysis we went through with SAB. We look at the asset, we look at that, go through the analytics and doesn't make sense to hold the asset or reallocate that capital somewhere else. And so that's something now that the restriction has gone, that will do on a regular basis and we'll update you at the appropriate times.
Owen Bennett: Great. Thanks, gents. Appreciate the questions.
Sal Mancuso : Thank you.
Operator: [Operator Instructions] We'll go now to Gaurav Jain with Barclays. Your line is open.
Gaurav Jain : Hi, good morning. Good morning, Billy. Good morning Sal.
Sal Mancuso : Good morning.
Gaurav Jain : I've 3 questions. So the first question one is on other questions which have been asked earlier on the Marlboro's price premium versus lowest effective. So what I understand is that BATLD position Lucky Strike below [Indiscernible] and then used to compete against [Indiscernible] at the equivalent price and now you do not actually have a brand which is competing against Lucky Strike, which is why we are seeing these 20% plus volume declines on the LNN side of things. So do you think you also need to reposition a brand to compete more effectively against Lucky Strike?
Billy Gifford : Yeah. Gaurav, I would remind you how we think about the combustible category and it's really about maximizing profitability over the long term, and then balancing investments in Marlboro because we're premium focus with investments in the noncombustible portfolio that we have, and so that's how we -- the overall strategy for the combustible segment. I would point to the performance of Marlboro again, of 5 to 6 quarters our RAC steady performance, and the price realization we've been able to achieve, both from list price as well as the advanced analytics and applying that to the marketplace. So we feel good about where we're positioned, as far as other companies they can make decisions independent of us.
Gaurav Jain : Sure. Thank you. The second question I have is on component shortages. So we have how [Indiscernible] battling a lot of industries. Have you seen any shortages and bad thing that e-cigarette market, which could help the cigarette volumes in the next few quarters. And we also had one of your competitors talk yesterday about shortages in some cigar components. So are you seeing any shortages in cigars as well?
Billy Gifford : Yeah. Nothing to point out, Gaurav, that would be material. We've had -- from a standpoint of our procurement team, they stay on top of this. They are able to work around whether it's storms, or shortages, or supply chains. But we haven't experienced any shortages either from a labor standpoint or from a product input standpoint. So we're extremely pleased with what our procurement and our hourly workforce has been able to achieve through this process.
Gaurav Jain : Sure. And the last question on the MSA calculation and you will realize that because of inflation, next year there could be higher adjustment. So could you just remind us how that calculation works and how inflation plays a role in it.
Sal Mancuso : Sure, Gaurav. Good morning. This is Sal. The MSA does have an inflation factor associated with the calculation of the payments. It has a floor of 3% and anything above 3% impacts that costs. Now, it's a point in time calculation. So at CPIUS of December 31st for the current year versus the prior year. We have had times where we've been above the 3%. It's something we are used to managing and we've managed in the past. I pointed it out only because it is a differential aspect of inflation for the Tobacco business versus other CPG industries.
Gaurav Jain : Okay. Thanks a lot, Sal.
Sal Mancuso : Sure.
Operator: We'll take our next question from Jennifer Maloney with Wall Street Journal. Your line is open.
Jennifer Maloney: Hi, good morning.
Billy Gifford : Good morning, Jennifer.
Jennifer Maloney: I just wanted to talk about consumer behaviors. Could you talk a little bit about why you're seeing a drop in industry cigarette volumes of 6.5%? Is it because people are spending more on travel and gas? Is it because they're out and about more, and not spending as much time at home?
Billy Gifford : Yeah, it's a great question. I would point to the mobility of our consumer and we talked about the extra nicotine occasions that we believe were added last year because of the stay-at-home practices. They -- and so as they've increased their mobility and you pointed to both factors that out about more and they're using their discretionary income on other things. The only other thing I would highlight that you did not highlight is gas prices and we know gas prices affect our consumers. But these are characteristics of the consumer. We know how to navigate through and I think you've seen we've been successful in the past, but those would be the major factors I would highlight.
Jennifer Maloney: And are our e-cigarette sales a factor? Are you seeing continued downturn in e-cigarette sales as affecting -- is that easing somewhat and hurting cigarette sales?
Billy Gifford : Yeah. I think if you refer to -- we try to provide a decomposition of industry volume. And so we do it on a 12-month moving. And so as of the end of the third quarter on a 12-month moving, remember, in secular decline, which is people smoking less or quitting smoking or moving to other categories, that's always contained about 1% of people leaving cigarettes for other categories. And then if we see additional cross-category movement beyond that, we highlight that. And you see that was up 0.2%. And so you can see about 1.2% of consumers leaving cigarettes for whatever other category they choose.
Jennifer Maloney: Okay, thanks very much.
Billy Gifford : Thank you.
Operator: Our next question comes from Patrick Folan with Redburn. Your line is open. And Patrick, please check the mute function on your phone. Patrick, please check the mute function on your phone. We're unable to hear you at this time.
Billy Gifford : Katherine, maybe we move on and come back to Patrick.
Operator: We have no further questions in queue. At this time I would like to turn the call back to Mac Livingston for closing comments.
Mac Livingston: Thank you all for joining us. Please contact the Investor Relations team if you have further questions. Thanks and have a great day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.